Operator: Welcome to Accenture's second quarter fiscal year 2007 earnings conference call. (Operator Instructions) I'd now like to turn the conference over to the Managing Director of Investor Relations, Richard Clark. Please go ahead, sir.
 Richard Clark : Thank you, operator and thank you, everyone for joining us today on our second quarter fiscal year 2007 earnings announcement. As the operator just mentioned, I'm Richard Clark, Managing Director of Investor Relations. With me this afternoon are Bill Green, our Chairman and Chief Executive Officer; Pam Craig, our Chief Financial Officer; and Steve Rohleder, our Chief Operating Officer. We hope you've had an opportunity to review the news release we issued a short time ago. Let me quickly outline the agenda for today's call. Bill will begin with an overview of our results. Pam will take you through the financial details, including the income statement and balance sheet. Steve will add some operational perspective. Pam will then provide our business outlook for the third quarter and full fiscal year 2007. Bill will close the presentation before we take questions. As a reminder, when we discuss revenues during today's call, we're talking about revenues before reimbursements, or net revenues. Some of the matters we'll discuss on this call are forward-looking and you should keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to: general economic conditions and those factors set forth in today's press release and discussed under the Risk Factors section of our annual report on Form 10-K and other SEC filings. Accenture assumes no obligations to update the information presented on this conference call. During our call today, we will reference certain non-GAAP financial measures, which we believe provide useful information for investors. You can find reconciliations of those measures to GAAP on the Investor Relations section of our website at Accenture.com. So now, let me turn the call over to Bill.
 Bill Green: Thank you, Richard and good afternoon, everyone. We are delighted that you could join us today. As you've seen, we've had another outstanding quarter. Our performance clearly reflects the strong fundamentals of our business and the continued momentum in executing our strategy. The market for Accenture services continues to be robust, and we do not see any uncertainty from our clients who are investing to compete. Let me just touch on some of the highlights for the quarter. First, we grew revenues across every dimension of our business. Overall revenues increased 16% with double-digit growth in both consulting and outsourcing. Our consulting business continues to be on fire, and I am particularly pleased with the important new clients that have engaged Accenture. We significantly increased operating income. We delivered outstanding earnings growth, increasing EPS by 27% over the prior year's adjusted results. Our balance sheet remains strong. New bookings were $5.3 billion, which included a record $3.1 billion in consulting, further demonstrating the robust demand for our services. We had a 2 percentage point decline in attrition from the first quarter, and utilization hit a new all-time high. We continue to invest in our people, and now have more than 152,000 men and women around the globe. Our focus is on growing our workforce by recruiting the best and the brightest. I am very proud of the people of Accenture, who are responsible for our outstanding performance. Now let me hand it over to Pam, to provide more detail on our financial results in the quarter.
 Pam Craig: Thanks, Bill and hello, everyone. I'm pleased to tell you more about our outstanding second quarter results. We had double-digit revenue growth, strong earnings and solid bookings, including record consulting bookings. In short, our fundamentals remain strong, and reflect the momentum of our business. Let me take you through some detail behind the numbers in our income statement, balance sheet and cash flow. Net revenues for the second quarter were $4.75 billion, a year-over-year increase of 16% in US dollars, and 10% in local currency, and at the high end of our previous outlook of $4.6 billion to $4.8 billion. Consulting revenues were $2.83 billion, an increase of 15% in US dollars, and 9% in local currency over the second quarter last year. Outsourcing revenues were a record high $1.92 billion, an increase of 17% in US dollars, and 12% in local currency over the same period last year. As we move down the income statement, I'm going to provide comparisons to the second quarter last year on both a GAAP basis and on an adjusted basis. By adjusted, I mean excluding the net impact of the NHS Contract Loss Provision in the second quarter last year, and also excluding the benefit from a reduction in reorganization liabilities in that quarter. We believe that adjusting for these items provides an additional meaningful comparison between periods. Gross margin was 29.6% compared to 21.2% on a GAAP basis and 30.2% on an adjusted basis in the second quarter last year. SG&A costs were $839 million or 17.7% of net revenues. This compares with $739 million or 18.0% of net revenues on a GAAP basis, and $767 million or 18.7% of net revenues on an adjusted basis for the second quarter last year. GAAP operating income was $559 million, reflecting operating margin of 11.8%. This compares with $137 million or a 3.3% operating margin on a GAAP basis, and $466 million or 11.4% operating margin on an adjusted basis. This represents a 40 basis point improvement in operating margin on an adjusted basis. There are several key factors reflected here: First, our strong results in the quarter allowed us to again accrue annual bonus. Last year at this time, we had no annual bonus accrued. Second, we were also able to make targeted, market-driven compensation adjustments for specific skill sets in certain geographies. Third, we continued to focus on driving down SG&A costs as a percentage of net revenues. We are pleased that we were able to grow operating income and expand operating margins, and make these investments in our people and capabilities. The annual effective tax rate decreased from 36.7% to 34.9% in Q2. This was driven by changes in the geographic mix of income and final determinations of prior year tax liabilities. In addition, there was a $21 million discrete tax item related to a reduction in the valuation allowance on deferred tax assets. This resulted in a Q2 2007 effective tax rate of 29.4%. GAAP income before minority interest was $413 million compared with $104 million in the second quarter last year. GAAP diluted EPS was $0.47 compared with $0.11 on a GAAP basis and $0.37 on an adjusted basis. Our EPS of $0.47 in the second quarter this year included a $0.02 benefit from the non-recurring tax item I just mentioned. Now, let's turn to our cash flow and some key parts of our balance sheet. Free cash flow for the quarter was $634 million, resulting from operating cash flow of $710 million less property and equipment additions of $76 million. In conjunction with completing the transition of the NHS contract, we made the final payment due to the NHS as scheduled. Our DSOs were 35 days, a record low. This reflects the continuing strong focus on cash flow by the people of Accenture. Our total cash balance at February 28 was $2.96 billion, compared with $3.07 billion at August 31. Cash combined with $267 million of fixed income securities classified as investments on our balance sheet was $3.23 billion compared with 3.53 billion at August 31. Total debt was $29 million, compared with $52 million at August 31. Our balance sheet metrics continued to be strong. For the 12 months ended February 28th, our return on invested capital was 74%. Our return on equity was 82% and our return on assets was 21%. Before I turn things over to Steve, I'll comment briefly on share repurchases. In the second quarter, we repurchased or redeemed 9.4 million shares for a total of approximately $348 million. As previously announced, our board of directors recently approved $1.5 billion in additional share repurchase authority, bringing Accenture's total outstanding share repurchase authority to approximately $2.6 billion. As you know, we recently launched a discounted SCA tender offer to purchase or redeem up to 19.7 million SCA shares at a price range of $30.50 to $33 per share. Our board approved an additional $650 million for use solely in connection with this discounted tender offer which is scheduled to close next week. As expected, the interest in the discounted tender offer is coming primarily from our former senior executives who hold shares that are restricted until 2009. All in all, we had a strong quarter, and are extremely proud of our results. Now Steve will give you some more detail on our operations.
 Stephen Rohleder: Thank you, Pam. Hello, everyone and thanks for joining us today. Our Q2 results are a continuation of the strong performance we've seen during the last six quarters. Let me take you through the highlights we're seeing across the three dimensions of our business: our growth platforms, our operating groups and our geographies. There are two major trends driving demand across all three of our growth platforms. First, our clients are focused on initiatives that are driving global business expansion, and secondly, they're interested in implementing operational efficiencies to reduce costs. The global business expansion trend is driving growth in management consulting where we're seeing strong demand for enterprise performance management, supply chain strategy and workforce transformation services. In fact, we plan to significantly expand our management consulting capabilities. We currently have 13,000 people in management consulting, and expect to nearly double the size of this workforce over the next three years. Some of this growth will come from cost-competitive locations, with highly-skilled workforces, including India. For instance, we plan to expand our analytic center in Delhi, which provides our global client base with access to a variety of specialized consulting skills. In systems integration and technology, the CIO agenda continues to drive demand for our services. This increased client demand in areas like IT security, data center consolidation and application optimization is creating a huge opportunity for our technology consulting practice. With thousands of specialized, highly-skilled technology experts focused on the CIO agenda, we're positioned as the go-to, independent technology advisor to CIOs and we plan to grow this area significantly over the next few years. Our global delivery network is another key driver of growth in systems integration and technology. We now have 58,000 people in our network, with 44 delivery centers in 30 cities. I recently had an opportunity to visit several of our offices in India, including in Chennai, where we announced a major expansion of our operations. In the second quarter, we also grew our presence in the Philippines, to 11,000 people and we opened our second delivery center in the Czech Republic. In outsourcing, the trend toward operational efficiency is driving demand for our services and our global presence continues to be a competitive advantage. In fact, just yesterday, a leading industry analyst mentioned Accenture in their report on application outsourcing, touting our global reach and strength in working across geographic boundaries. They also cited our broad range of application outsourcing capabilities and identified us as the best provider for large, complex projects. In our operating groups, the headline is clearly the double-digit growth in financial services, products and resources. Financial services growth was driven by banking and insurance, both of which had growth in CRM and asset-based projects. Products delivered strong growth in both consulting and outsourcing with outsourcing growth driven by BPO work in finance and accounting, HR and learning. In resources, we saw strong demand for SI work in both energy and natural resources with groundbreaking work in the refining space. Before I leave the operating groups, let me comment on NHS and the State of Texas. At NHS, we completed the transfer and related activities in the second quarter for less than the previous estimate and no material obligations remain. Regarding the State of Texas, I've been directly involved in the discussions. We believe the resolution is in the best interest of the State of Texas, Accenture and our shareholders and we don't expect the winding down of the contract to have any material impact on our financial performance going forward. Turning to our geographic regions, we saw strong double-digit growth in both EMEA and Asia Pacific. In EMEA, we are very pleased with the continued expansion we're seeing in the UK. In Asia Pacific, our growth was driven by strong results in both Australia and Japan. Now, let me touch on a few operational metrics. Our bookings in Q2 were $5.3 billion, with outsourcing bookings of $2.25 billion, and record consulting bookings of $3.1 billion. Our consulting book-to-bill ratio was extremely strong at 1.1. In outsourcing, we're seeing a shift in the marketplace towards shorter-duration contracts. While this is affecting our book-to-bill norm, it's not affecting our revenue growth prospects, as our average revenue per contract year is steady, and our renewal rate is high. In terms of pricing, we're continuing to pursue pricing increases in our highest-demand areas like management consulting, technology consulting and specialty skills and SI. Moving to people management, we ended Q2 with more than 152,000 employees and revised our hiring targets upward to more than 60,000 people for FY07. Attrition declined to 17% in the second quarter, down from 19% in Q1 and utilization was exceptionally high at 86%. The progress we've made in SG&A reflects this higher utilization, as well as lower facilities and technology costs and continuing efforts to use lower-cost locations to support our corporate functions. In closing, I'm extremely pleased with our Q2 results. Our pipeline shows market momentum and we're looking ahead with confidence in our business. Now, let me turn it back to Pam for our business outlook.
 Pam Craig: Thanks, Steve. First, for the third quarter we expect revenues to be in the range of $4.9 billion to $5.1 billion. This range assumes a foreign exchange uplift of 3% to 4%. Turning now to the full fiscal year, we continue to target new bookings to be in the range of $22 billion to $24 billion. Based on our experience to date, we expect consulting bookings to represent more than half of the total. As you know, outsourcing new bookings can vary significantly from quarter to quarter and, as Steve said, we are contracting more work in shorter duration. That said, the outsourcing pipeline is strong. For revenue growth for the full fiscal year, we now expect to be at the high end of the range of 9% to 12% in local currency. We are raising our expected EPS for the full fiscal year to a range of $1.88 to $1.93. This is $0.08 higher than our previous outlook, reflecting the $0.02 benefit from the one-time tax item I mentioned earlier and the improved outlook for our overall performance. We continue to expect operating margin for the full fiscal year to be in the range of 12.6% to 13.1% which represents an expansion of 20 to 70 basis points on an adjusted basis. At this point in time, we believe it is likely that we will not be at the top end of the range. As demand and market conditions are fueling strong growth, we need to invest in our people and the business. In terms of cash flow, we continue to expect operating cash flow to be in the range of $1.95 billion to $2.15 billion and property and equipment additions to be $335 million. We now expect free cash flow to be at the high end of our previously communicated range of $1.6 billion to $1.8 billion. Finally, we now expect our annual effective tax rate to be in the range of 34% to 36%. In summary, our second quarter results reflect our broad based and robust business and clearly show momentum for continued growth and profitability. So here is Bill to close before we take your questions. Thanks.
 Bill Green: Thank you, Pam. Before we take your questions, just let me recap briefly. We had a really strong quarter growing revenues in every dimension of our business and we're seeing strong demand for our services around the world. There's a reason for this. It's because we continue to expand and enhance the capabilities that differentiate Accenture in the marketplace and we continue to attract top professionals in the business. This allows us to serve our clients in a first-class way, to anticipate their future needs and to attract new clients to the firm. As I told you last quarter, one of the keys to differentiation is specialization. Across the board, we have the scale, the breadth and the depth to specialize and to further differentiate ourselves in the marketplace. With that, now let's open it up for questions.
Operator: (Operator Instructions) Our first question is from Julie Santoriello - Morgan Stanley.
 Julie Santoriello - Morgan Stanley: Good afternoon. Pam, could touch on the SG&A margins in the quarter? Clearly a nice improvement year over year and it did pick up sequentially by about 50 basis points. I realized you said that last quarter was not going to be sustainable at those especially low levels. Could you talk about some of the expenses that kicked in this quarter?
 Pam Craig: In SG&A last quarter, it was about 17% and this quarter, it was 17.7%. Again, we are clearly in the range of what we were looking for this year, Julie. We're down 100 basis points on an adjusted basis. This is right in the sweet spot of where we had hoped to be at this point with SG&A. So there's really nothing that isn't happening. We're executing our SG&A programs very well. Last quarter I think we just had perhaps more in cost of services.
 Julie Santoriello - Morgan Stanley: You also mentioned in your opening remarks about comp adjustments for some specialized skills. Can you go into a little bit more detail on what those skills might be, and what kind of inflation you may be seeing there?
 Pam Craig: We had some targeted comp adjustments for some management consulting skills and some hot skills in the SI area in different geographies around the world.
 Julie Santoriello - Morgan Stanley: Lastly, can you just talk about the impact to the top line growth from foreign exchange in the quarter?
 Pam Craig: Yes. Well, as you can see, it was 6%. We had thought it would be about 5% so we had a point uplift beyond that. And for next quarter, we're looking at 3% to 4%.
Operator: Our next question is from Jason Kupferberg - UBS.
 Jason Kupferberg - UBS: Bill, you made it very clear in your opening remarks that you guys continue to see really robust demand in consulting, despite what might be going on in the macro economy or the stock market or the geopolitical environment. Can you just walk us through where you stand from a visibility standpoint going forward on the consulting business now versus where you might have been a couple of quarters ago?
 Bill Green: On balance, the thing I always look at is the confidence of CEOs to invest in their business. I was just at several gatherings of CEOs both in the United States and Europe. People continue to make decisions about investing in their business to compete on the global stage and to compete globally. I think we're operating in a space where people are just used to some of the external factors, geopolitical factors, economic twists and turns and things like that and people are playing a little longer-term game. So if you look at the nature of the opportunities we get, the nature of what's in the pipeline, it is people stepping up to do small, strategic things as well as very large transformational programs that will replatform their entire companies. We haven't seen any downturn or any drop-off in that kind of activity.
 Jason Kupferberg - UBS: That's good news for the space. Steve, could you maybe give us an update on the grow America program? I know the Americas lag some of the other regions a little bit this quarter. Things can obviously bounce around in any given period, but any new insights there would be great.
 Bill Green: Yes. As you correctly point out, we kind of bounced around. I think last year was a tough comp for us. As I look at the pipeline for the US and I look at each one of our operating units that operate there, with the exception of communications and high tech and specifically in the communications area, all of the others have very strong pipelines in both consulting and outsourcing. Frankly, I expect that the US is going to continue to grow at the rates that we've experienced over the last five or six quarters.
 Jason Kupferberg - UBS: Finally, any deeper color in Europe? Any soft spots that you would highlight or particularly hot areas as we go through the balance of fiscal '07?
 Bill Green: I'd focus on the strength of the UK, obviously in my speaking points I've talked about it, but we also saw real strong growth in France and Germany. I think Spain, if you look at one area that we're focusing on in terms of the growth and the people agenda, that's high on the agenda right now. Other than that, our EMEA region is just going gangbusters.
Operator: The next question comes from Bryan Keane - Prudential.
 Bryan Keane - Prudential: Good afternoon. You guys expect local currency revenues to be at the high end of the range, 9 to 12. This quarter, I think you guys did 10 so you expect to pick-up, if I'm reading this correctly, in the second half of '07. I just wanted to make sure I know where that pickup is coming from. Where's the strength you're seeing that'll drive that higher organic growth?
 Pam Craig: Bryan, we're just trying to recognize that the fourth quarter will have a good amount of revenue growth because of the reversal of revenue that we took in the fourth quarter of last year for the NHS. So that's the primary reason.
 Bryan Keane - Prudential: Then the $0.08 extra in earnings that's taken up the guidance, is that mostly just due to the tax rate benefit this quarter?
 Pam Craig: Well, the tax rate is part of it but I mean when you think about it, with revenues up and margins up, it's all part of the mix. But yes, the tax rate is part of it.
 Bryan Keane - Prudential: Steve, just on the Texas contract, I know it's winding down and the results won't be material, but will there be any writedown that we should expect in the next couple quarters due to that contract? Or will it all be in operating and we won't see any major one-time event?
 Stephen Rohleder: Well, I don't want to comment on it because we're still in discussions so I really can't answer your question, just because of where we're at in it right now.
 Pam Craig: We don't expect a material financial impact going forward, Bryan.
Operator: Your next question will be from Rod Bourgeois - Bernstein.
 Rod Bourgeois - Bernstein: I wanted to press a little harder on the tax rate effect for the year. Does the 34% to 36% tax rate guidance for the year include the one-time $21 million benefit in the February quarter?
 Pam Craig: No.
 Rod Bourgeois - Bernstein: So it excludes that. So how much of the $0.08 of upward guidance for the year is coming from tax rate? Is it $0.05 of the $0.08?
 Pam Craig: Well, I'm not going to give you that exactly because when you think about it, it all goes into the formula of how we get to our margins and delivering results. So I think that clearly, the improvement down to 34.9% is contributing towards that.
 Rod Bourgeois - Bernstein: Let me turn to pricing. It appeared over the last couple of quarters that your pricing improvement was offsetting the annual salary hikes that you gave at the beginning of your fiscal year. Is that trend continuing, where pricing power is offsetting the impact of your annual salary hike, or are you starting to get to a point where pricing can contribute to margin expansion?
 Bill Green: I think it's a little bit of both, Rod. The increases that we put through that Pam commented on, we were very diligent and planned out price increases to correspond to those salary increases. So our ability to push through price increases is expanding, as I said, into some other areas of management consulting and into some other areas of systems integration. Before, I think in Q1, I talked about the fact that we were focused on strategy and supply-chain primarily in the management consulting area. We've now expanded that across-the-board in management consulting. In technology consulting, we're continuing to press for price increases. And in SI, we're focusing more on broader specialized skills. So SAP, Oracle skills, and now SOA skills as well, we've added to that list.
 Rod Bourgeois - Bernstein: Great. You issued a release last week saying that you might nearly double your management consulting staff over the next three years. I'm assuming that you will do that as demand dictates; you're not going to hire those people in advance of demand and that it's just that you're seeing such a strong pipeline for the management consulting unit that you're heading down the path of hiring those capabilities. Is that an accurate interpretation of what was behind that release?
 Bill Green: Yes. We don't get the supply out too far ahead of demand. I think people know us pretty well. But if you look at the rate at which we're busy, and you look at the nature of the consulting bookings and you look at the nature of the pipelines and the inbound work and what Steve described that we were doing in India in terms of adding an entire new consulting capability to support our global practice, there's just a ton going on in this space. We're going to always be thoughtful about making sure we have the demand for the supply. But right now, we have dramatically more demand than we have supply and so we have a very specific focus that Mark Foster is leading on continuing to strengthen that growth platform. So we have all three of our growth platforms firing on all cylinders. That's what we're trying to get to.
 Rod Bourgeois - Bernstein: Sounds great. Thanks, guys.
Operator: Your next question will be from Julio Quinteros - Goldman Sachs.
 Julio Quinteros - Goldman Sachs: Hi, guys. I wanted to check real quickly on a couple of operating unit level questions. First, on the communications and high tech sector, when can we expect that to bounce back and what's driving some of the lagging performance on that group, first of all?
 Stephen Rohleder: Well, I think there's been some consolidation of the industry, specifically in the US, Julio that's affecting some of the results there. We've got a focused program not only in consulting, but in outsourcing for the communications guys and they're working that very diligently. So I'm not going to predict a timeframe, but I think we're on the case. I would also tell you that the EHT piece of communications and high tech is really growing very nicely. We're seeing strong demand, both in outsourcing and consulting on that side of the operating unit, as well. I expect that we'll move forward in a positive way there. We've got some programs underway to help juice the growth.
 Bill Green: Let me add and maybe it's my heritage talking, since I know something about CHT. But frankly, when we look at that business, obviously in North America, there's been a lot of restructuring going on. The thing that I'm pumped about in North America is the practice has really started to shift to focus on the cable, on the satellite guys and on the digital content, broadly. I think the business in North America has gone through some amount of a transformation of sorts. But we feel good about the business. I don't know how long it takes to turn. There are a lot of big numbers there that get moved around. But at the end of the day, the activity is strong. We've got the talent on the ground and in terms of the new space that we're working on in the digital content area, the media area, cable and other providers, we're frankly excited about where the business is going to go.
 Julio Quinteros - Goldman Sachs: Just to make sure I understand it, the lagging performance right now, is it a function of clients sitting on their hands, trying to figure out how to integrate, how to rationalize, how to drive the architecture that they want to drive? Meaning that they're not really making the decisions and so you have the work that you have in the pipeline, and there are other areas that are obviously working. Or is it more that they're just kind of pushing things out? I'm just trying to get a sense for how this is.
 Stephen Rohleder: Yes. To me, it's all about rationalizing. It's about every three or four years, the industry takes a breather. They think through where they're going to make the investments, what's strategic, what are the regulatory environments. Obviously, we've had a lot of consolidation in the industry so all of that is being digested. But in terms of putting toes and feet in the water on next-generation things and new things, these companies are continuing to invest and we're continuing to work with them on the next iteration of what CHD is all about.
 Julio Quinteros - Goldman Sachs: Steve, on the government margins what is driving that uptick in government margins? I think it was up from 4.5% to something like 14% or so.
 Pam Craig: I'll take that one, Julio. Government this quarter had very strong contract margins. They also had very effective cost management which they had planned for, to help cover the remaining NHS losses. So it was just an outstanding performance by that group.
 Julio Quinteros - Goldman Sachs: No benefits from Texas, or reversals from NHS or anything like that?
 Pam Craig: We don't comment specifically on clients.
 Julio Quinteros - Goldman Sachs: But it was all operating? It wasn't one-time?
 Pam Craig: Correct. It was all operating.
 Julio Quinteros - Goldman Sachs: Okay. And then just finally, Pam when you said on your comments about being at the low end of the margin guidance, were you referring to the 12.6 to 13.1 or the 20-70 basis points?
 Pam Craig: Well, they're the same thing.
 Julio Quinteros - Goldman Sachs: I'm sorry. I see what you're saying. Got it. Thank you.
Operator: Your next question will be from Pat Burton - Citigroup.
 Pat Burton - Citigroup: Within the government business then, there were no reversals on any contracts without getting into specifics?
 Pam Craig: There were no one-time type of things. There was, I think, normal good contract management across the portfolio.
 Pat Burton - Citigroup: On the earlier comments on SG&A, would you expect them, on a year-over-year basis, to continue to trend down? Or at some point, do you get to as efficient as you can be there?
 Pam Craig: Well, at some point we'll probably get to as efficient, but we're not there yet. We're continuing in our multi-year program to drive it down, year-over-year.
 Stephen Rohleder: We're out ahead of the multi-year program. Sooner or later, we'll hit the spot. But I'm frankly taking mental possession of some of this, and we're delighted with the outcome we're getting.
 Pat Burton - Citigroup: Bill, is the spot moving lower and lower the more you get into it?
 Bill Green: No, no. When you look at our five-year plan, we just think in terms of our competitive profile of where we need to be. We have a plan to continue to work away at that and we set out to execute it under Steve's leadership. We just happen to be outperforming where we thought we'd be, at this point in time.
Operator: And your next question will be from the line of George Price - Stifel Nicolaus.
 George Price - Stifel Nicolaus: First, on the margins. When you indicated not at the high end of the range, investments in the business and in people, can you just give maybe a little bit more color? Specifically obviously wages, bonus comp; anything beyond that, Pam?
 Pam Craig: Sure, George. Well first of all, we're halfway through the year. There's a lot of runway ahead of us. As you've probably calculated, we're at 12.3% year-to-date and we certainly expect to deliver higher margin in the second half of the year. So I think we're intentionally continuing to balance the margin expansion with the need to invest in a business that's very hot right now.
 Stephen Rohleder: I think we could settle for any one of these things. At the end of the day, we settle for the business, the forward momentum, the growth, the profitability. We're balancing. We have incredible demand for skills in the marketplace. There's incredible demand for our people from our clients and from the outside. We're balancing a series of things, to make sure that we have the best people on the planet to drive this business forward as well as we meet or exceed whatever promises that we've made. I think on balance, we're delighted with the results and doing a pretty good job of that. I would say there are 10 or 15 moving parts in all of this. I think as a leadership team, our job is to make those judgments as we go, and try to keep this thing heading in the right direction and playing a game that not only delivers results in the short term, but positions us for the future, as well. That's what we're trying to do.
 George Price - Stifel Nicolaus: In terms of the use of cash and cash flow, I think we'll continue to see ongoing share repurchases. But if you could maybe give some thoughts going forward in terms of acquisitions, where you'd be stepping up a little bit more? What do you think would be particularly interesting? Or what would you be focused on in terms of vertical skills, geographies, et cetera?
 Pam Craig: Well, we look at a lot of things and we will continue to, but we're sticking with our strategy of tactical tuck-ins and we haven't wavered from that. I think in terms of the share repurchases, on a normal course, you can expect those to be in the billion-dollar range.
 George Price - Stifel Nicolaus: Where are we in terms of headcount in India? And then targets going forward by the end of the fiscal year?
 Bill Green: I think I mentioned that we were in the mid-50s, in terms of total numbers. I think we were at 35,000 or targeting 35,000 by the end of the fiscal year. You know, the growth just continues, George, to expand there now with the management consulting expansion. We're just going to see more substantive growth there. So we're still on-target to hit the end of the fiscal year number that we've been throwing around.
Operator: Your next question will be from the line of Andrew Steinerman, Bear Stearns
 Andrew Steinerman - Bear Stearns: It's great that the business is strong enough that it would continue to accrue a bonus. Pam, I just wanted to make sure I understood your point on that well. If it wasn't for the accrued bonus that we put into the February quarter, it sounds like gross margins would have been up year over year. In other words, we're on a very healthy gross-margin trend, here.
 Pam Craig: Yes. The real margins were very strong.
 Andrew Steinerman - Bear Stearns: Okay. And you would expect more of the same going forward, right?
 Pam Craig: Yes.
Operator: The next question will be from the line of Ed Caso - Wachovia.
 Ed Caso - Wachovia Securities: I was wondering if you'd talk a little bit about the US federal government market. I don't think I've heard much from there. What are you seeing? Are you continuing to focus resources there? Or maybe are you redirecting people, given how strong other areas are?
 Bill Green: We are focusing on the US federal business, specifically in the systems integration area and just this year, a renewed focus on the management consulting area. You may have seen a couple of wins that we've had, one with the Navy. I think that's evidence that we are still successful in the market. We're going to continue to pursue the right kinds of projects for our business. That said, I think that everyone is experiencing a bit of a slowdown because of the continuing resolution but it's not going to halt our focus on that area and we're continuing to go after it.
 Ed Caso - Wachovia Securities: Can you talk a little bit about Texas? I think in the past, there was Florida and NHS. There seem to be special challenges with State or State-like entities sort of shifting priorities, and getting contracts lined up. Are there some lessons learned? Or are they just forever going to be difficult, occasional blow-up kind of spaces?
 Bill Green: Well, I won't characterize the whole market segment. But I will tell you what we're doing. At the beginning of the fiscal year, we focused our efforts on specific states where we feel the market is there. The states are in a position, basically, to undertake transformational work. That's where we're going to focus our efforts. That's where we're going to focus our business development and that's where we're going to focus our people. I don't want to comment on the overall market or the characteristics of the states. Are there lessons learned? Darn right there are. I think importantly, we recognize the brand of Accenture and our financial performance is precious and important. We're going to make choices about the nature of what we do that supports and defends and enhances our brand and our financial performance. We're going to do that in the best interest of our shareholders, and the men and women who come to work here everyday.
Operator: And our next question is from the line of Brandt Sakakeeny from Deutsche Bank. Please go ahead.
 Brandt Sakakeeny - Deutsche Bank: A question on some color around the bookings number. In the outsourcing segment, can you just give us a little more color? Are you seeing particular strength on the HR side or in accounting and finance? And then maybe on the consulting side, can you just again give us a little more color on where the strength is both geographically and also by vertical? Also too if there's been any mix between sole-sourced and RFP work?
 Bill Green: Yes, Brandt. Just on your first question of outsourcing versus consulting, the trends that we're seeing in outsourcing if I had to pick two I would say strong bookings in application outsourcing, strong bookings in the BPO area specifically in HR and finance. That trend has been there for a quarter or two but we're continuing to see that drive the bookings growth. On the consulting side, the story is really systems integration with a good healthy mix of management consulting and technology consulting. But it's clear that clients are going through application rationalization and legacy-renewal projects which is driving our systems integration business, specifically in the packaged software area.
 Brandt Sakakeeny - Deutsche Bank: Steve, any switch between RFP and sole-source work? Is that still staying sort of two-thirds, one-third?
 Stephen Rohleder: I think it's about the same. I wouldn't suggest there's been any change from the past.
Operator: Next question is from the line of Tien-tsin Huang from JP Morgan. Please go ahead.
 Tien-tsin Huang - JP Morgan: Did I hear it correctly that the transition costs for NHS came in below plan in the quarter? And if so, could you quantify this?
 Pam Craig: They were below our maximum, and no I will not quantify it.
 Tien-tsin Huang - JP Morgan: Can you remind us of how much in the way of NHS-related losses were actually recognized on the P&L in fiscal '06? I'm just trying to isolate the easier comparison for the balance of '07.
 Pam Craig: I'm not going to trust my memory on that, Tien-tsin so we'll get you that.
 Tien-tsin Huang - JP Morgan: Does your guidance include the expected effects of the discounted SCHR tender?
 Pam Craig: We had some of that in there and we'll update you once the transaction's completed.
 Tien-tsin Huang - JP Morgan: So you have some assumption in there, but it sounds like it's modest.
 Pam Craig: Yes.
 Tien-tsin Huang - JP Morgan: Lastly, on utilization which has been trending, I guess, at record levels. How sustainable is this quarter's utilization? Are we at or near peak utilization? I'm curious to hear how you're addressing the management of utilization.
 Bill Green: Well, frankly, every quarter that goes by, we ask ourselves the same thing. Now we have gotten our staffing process very finely tuned. How we leverage and move people around the world is one of the core competencies of Accenture. So it's important. I think that the opportunity we have now continues to be more selective. There was a question earlier about pricing. We think that this situation gives us opportunities to be more selective, and take some steps to improve the pricing and the economic return that we get from the work. So that's really where we're focused.
Operator: Your final question comes from Elizabeth Buckley -Arete Research.
Elizabeth Buckley - Arete Research: What was your staff attrition and your management consulting workforce relative to your group attrition level?
 Stephen Rohleder: We don't separate out the attrition. We look at it in the aggregate. So we've not disclosed a separate number just for that component of our business.
Elizabeth Buckley - Arete Research: But should we assume a slightly higher rate for the management consulting part?
 Stephen Rohleder: I wouldn't assume anything. I would just clarify that a little bit. We've mentioned over the last quarter or so this re-energizing of our management consulting business. I think that has created a buzz in this place that is remarkable. I think people want to be part of it. As a result, we have had a lot of people that may have otherwise historically chosen to move on, or look at a client opportunity, that are continuing to stay the course to be part of what we're trying to do here. So we feel pretty good about where consulting is sitting right now. But it's a very insightful question.
Elizabeth Buckley - Arete Research: On the management-consulting ramp that you mentioned, Bill, a few weeks ago, would you expect that to mirror your current on-shore GDN head count ratio or would it be biased more in favor of on-shore recruitment?
 Bill Green: I guess I never thought of it in those terms. I sort of think of it in terms of where are the hot areas, where is the capability we need. There will be an element of those that will be leveraging offshore talent. There will be a very large element of those that'll be out facing clients every day. That's sort of the tip of the spear that consulting provides to us and that's what we're trying to really get done.
Elizabeth Buckley - Arete Research: The reason why I asked that an is because clearly the doubling if that's your ambition over a three -year period of the management consulting business, that's clearly higher than your revenue guidance this year. Just looking at the trends for the different verticals, can you comment on the demand trends that you're seeing and the sources of visibility to substantiate such an increase over an extended timeframe?
 Stephen Rohleder: I'll give you sort of a high-level pass through it. I think first of all it's about what are you responding to? Second is, what kind of company are you trying to be and how are you going to differentiate or compete in the marketplace? So we have two things going on here right now. You can see by the consulting bookings that that element of the business has some momentum so we need arms and legs and brainpower in order to serve the clients we have there. Maybe more importantly is the opportunity to differentiate. That is, if you look at the full set of services Accenture provides to clients through consulting, technology and outsourcing, that consulting part of our business, there's a lot of opportunities to attract new clients to the firm by expanding the nature of our work, and having better penetration in geographies around the world. We believe we have tremendous consulting headroom in every country in which we operate. That's what the expansion is meant to be about. Now we're going to do it thoughtfully. We're going to do it smart. And right now, we're already behind. In fact, if we had thousands more consulting resources, we could put them to work today. So in my mind, it's about setting a mission. It's about defining where we're trying to get and it's about driving the business in that direction. At the end of the day, we want three growth platforms that all have the same amount of juice behind them driving the business on a global basis.
Elizabeth Buckley - Arete Research: Thank you.
 Bill Green: Let me just wrap up here quickly. In closing, I just wanted to say a couple of things. We had a great quarter, and we're moving into the second half of the year with enthusiasm and with confidence. We're focused on advancing our growth agenda and further expanding our capabilities globally which will enable us to continue to deliver superior value to our clients, and in turn, to our shareholders. I want to remind you that Pam, Steve and I as well as our broader leadership team, as always, are available and happy to talk to you. You can just call Richard to make any arrangements. Thank you for joining us today on the call. Thanks for your continued support of Accenture.